Operator: Good morning. My name is Joanna and I will be your conference operator today. At this time, I would like to welcome everyone to the Capstone Copper 2022 Year End Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. Mr. Jerrold Annett, you may begin your conference.
Jerrold Annett: Good morning. I'd like to welcome everyone to Capstone Copper's Q4 and year end 2022 conference call. Please note that the news release and regulatory filings announcing Capstone Copper's 2022 fourth quarter financial and operational results are available on our website and on SEDAR. Please note that the results are preliminary and subject to change based on final audited results. If you are logged in to the webcast, we will advance the slides of today's presentation, which is also available in the Investors section of our website. I'm joined today by our CEO, John MacKenzie; our President and COO, Cashel Meagher; our Chief Financial Officer, Raman Randhawa; and our SVP, Risk ESG and General Counsel, Wendy King. Following our brief remarks, there will be an opportunity for questions. Please note that comments made on the call today will contain forward-looking information within the meaning of applicable securities laws. This information by its nature is subject to risks and uncertainties and actual results may differ materially from the views expressed today. For further information on the risks and uncertainties pertaining to our business, please see Capstone's most recent filings which are available on our website and on SEDAR. And finally, I'll just note that all amounts will be -- we will discuss today are in US unless otherwise specified. Now, I'll turn the call over to John MacKenzie.
John MacKenzie: Thank you, Jerrold and good morning everyone. We're very pleased to present our fourth quarter and full year 2022 results and achievements, which is the strongest quarter of the year and sets us up well for an exciting 2023 as our team executes on our sector-leading growth plan. In the fourth quarter, we produced a total of 45,500 tonnes of copper at consolidated C1 cash cost of $2.50 per payable pounds of copper produced. As was previously disclosed, we achieved our nine-month guidance with total copper production of 136,300 tonnes at consolidated C1 cash costs of $2.68 per payable pound of copper produced at nine-month period ending December 31st 2022. I'm proud of what we accomplished last year, completing key milestones that are; one, continuing to improve the assets policy of our business; and two, facilitate our near-term growth. Specifically, last quarter we completed the construction of the Cozamin paste back-fill and dry stack tailing spots, which was just currently ramping up. Our Mantos Blancos concentrated debottlenecking projects achieved 85% of nameplate capacity in December, and became commercial production. We announcement the Mantoverde, Santo Domingo district integration plan, which lays the foundation on which we plan to create one of the most exciting copper and cobalt districts in the world. And we continue to make solid progress with respect to construction activities at the Mantoverde development projects. As at December 31st, our overall project progress was 76% and the project remains on budgets and on track to start wet commissioning by year end. At the MVDP construction sites, the new processing plant is taking shape. [Indiscernible] you can see the -- in place, flotation cells erected, and tailing signals being assembled, which Cashel will provide more color on with our operating results. I would encourage you to visit a virtual tour of the project by clicking on the verify link provided in our news release as well as the bottom of the slide. Earlier in the year, we announced the commitments to the Copper Mark at our Mantos Blancos and Mantoverde mines, showcasing our pursuit in best practices based on International Standards for Responsible Mining, which Wendy will provide further detail on including our ESG strategy later on the call. Now slide six, which illustrates how we're proactively improving the asset quality of our portfolio. We're growing proportion of higher grade, higher margins sulphide production, driving lower costs across our business. Over the nine-month period ending December 31st, 2022, our low-cost sulphide production, as a percentage of the total was approximately 65% and growing to 73% in 2023, primarily driven by the ramp up of the Mantos Blancos concentrated debottlenecking project completed last year. Looking forward over the next 12 to 24 months, we expect our lower-cost sulphide business to contribute over 80% of our total copper production, further increasing with the development of our Santo Domingo projects and driving company-wide consolidated C1 costs towards $1.50 per pound. Now, I'll pass it over to Raman for our financial results.
Raman Randhawa: Thank you, John. We are now on slide seven. From the end of Q3 to the end of Q4 last year, we saw the copper price increase more than 10%, which resulted in positive provisional pricing adjustments in the fourth quarter. Our realized copper price for the quarter was $3.74 per pound, which was $0.11 higher than the LME average of $3.63 per pound. As discussed in the prior quarter, going forward, we expect unrealized provisional pricing effects to be offset by quotational period hedges by utilizing derivative contracts to offset copper sales for the objective of achieving LME average prices. Adjusted EBITDA in Q4 of $80.5 million included a realized provisional pricing, loss of $7.8 million related to Q2, Q3 copper sales that final settled in Q4, including the prior period provisional pricing loss, even though would have been approximately $90 million. Moving on to slide eight. On the left hand side, we summarize our available liquidity, which at year end was approximately $700 million, including $172 million of cash and short-term investments and $525 million of undrawn amounts on our $600 million corporate revolving credit facility, which was upside during q4 as a result of exercising the $100 million accordion to further bolster our financial liquidity. During the quarter, we drew down on the remaining amount of the $520 million project debt facility as well as the $60 million cost overrun facility with our Mantoverde partner Mitsubishi Materials Corp. As John mentioned earlier, we remain on track on budget for completion of the Mantoverde development project by the end of the year. We ended last year with a consolidated net debt of $483 million. The chart on the right hand side of the page illustrates our EBITDA sensitivity at various copper prices. You can see that 2023 is overshadowed by the EBITDA generation with Mantoverde sulphides at full run rate production. our $4 per pound copper we expect to generate approximately $500 million of EBITDA in 2023 and over $1 billion of annual EBITDA with the benefit of Mantoverde Development Project online. The EBITDA generation associated with Mantoverde will enable accelerated opportunity to delever the aforementioned debt and beat below one-times net leverage at copper price is between $3.50 and $4 per pound, which provides additional liquidity to advance our future growth pipeline. Now, I'll hand it over to Cashel for the operations review.
Cashel Meagher: Thanks Raman. We're now on slide nine. Valley produced 15,000 tonnes of copper at C1 cash costs of $2.48 per payable pound during Q4, which was our best quarter last year from both the production and cost perspective. Looking ahead in 2023, we are expecting similar production on an annualized basis, between 56,000, the 62,000 tonnes at C1 cash costs of $2.40 a pound to $2.60 per payable pound. We continue to make good progress on engineering details for the PV4 Feasibility Study, which aims to tap into the 1 billion tonne resource extending the mine life to beyond 2015. Valuating further investment opportunities in the grinding and metal recovery processes and improved ESG performance to maximize value for all stakeholders. We are pleased to welcome Lyndsay Potts, who is the new GM for Pinto Valley and is joining us after 17 plus years with leadership positions in increasing role responsibility from Newcrest's Ridgeway Cadia operations. Moving to slide 10. Cozamin mine had a transitionary production quarter, producing 5,820 tonnes of copper at a C1 cash cost of $1.40 per payable pound. The modification to the mining method was evaluated and implemented during the quarter to increase the realized mineral recovery from the mine. In some areas where the depth of the ore body is shallow, and the width of the ore body is variable. We have determined that cut and fill mining will ensure a more efficient mineral recovery methodology. We are also incorporating transverse long-hole methodology in some key wide areas identified in the mineral reserves. Overall, we expect this change will maximize the mineral recovery in the mining process at a slightly higher mining rate, allowing us to use some of our excess milling and [Indiscernible] dry stack capacity we have on surface. We anticipate this being outlined in a new technical report we will issue at the end of next month. The [Indiscernible] and dry stack Tailings facility is complete ramp up is underway. Our Mantos Blancos asset is highlighted on slide 11. Total sulfide and cathode production yielded 14,2000 tonnes of copper and a blended C1 cash costs of $2.09 per payable pounds. The plant achieved 85% of throughput capacity for the month of December. The key focus on ramp up remains plant availability and in particular on mechanical compliance on preventative maintenance and systems. Design work is underway for H2 2023 to utilize the unused capacity in the plant to increase the throughput from a current design at 20,000 tonnes per day to 27,000 tonnes per day. Now, on to Mantoverde on slide 12. Q3 2022 production was 10,500 tonnes of copper in cathode at sea when cash costs of $3.65 per payable pound. visible progress was achieved that the MVDP project progresses at 76% with $580 million spent as of year-end. With many of the classical major escalator risks behind us and/or materially diminishing, the total expenditure for the project remains $825 million and on scheduled for year-end 2023 wet commissioning. The Mantoverde development project will deliver blended C1 costs below $2 a pound and produce 120,000 tonnes of combined cathodic copper and concentrate with over 30,000 ounces of gold per year. Slides 13 through 17 show construction progress at several key areas of the MVDP. Slide 13 shows the primary crusher with the retaining wall and conveyances advancing well. Structural steel erection is also advancing well as evidence from the progress on the copper filtration buildings, column cells and rougher cells. All major components are procured and on site in preparation for final installation steps. Slide 14 shows the copper concentrate thickener and a different perspective on the copper filtration and loadout facility. The picture on the right clearly displays the advancement of the assembly of the SAG and Ball mills. The next slide 15 shows the overall site and the photo on the right shows the core ore stockpile and the reclaim tunnels in preparation for the construction of the geodesic dome for dust control. The pre-strip for mining the sulphide ore is nearly complete and stockpiling of sulphide ore has commenced assembly of the third electric shovel is in progress and the new truck shop to accommodate the larger fleet is well underway as seen on slide 16. An important piece of progress can be seen on slide 17 where the excavation of the core of the Tailings facility has the dam now emerging from the initial cut off trench. No major adverse geotechnical conditions were encountered and productivities have improved to ensure that the Tailings will be ready and waiting for the completion of the sulphide plant. In parallel, we continue with our studies to evaluate the methodology best suited to exploit the cobalt resource that is present at both Mantoverde and Santo Domingo. Moving to slide 18. In addition to the previously disclosed TEA on the roaster option for Santa Domingo, we are excited to be evaluating an alternative method for cobalt extraction, which would involve using our current heat bleach infrastructure and adding a CCIX, Counter Current Ion Exchange circuit. The flow sheet concept is simple, we would recover cobaltiferous pyrite in our flotation circuit, which would prevent it from going to Tailings. The pyrite would be agglomerated in our existing drums and placed onto the copper oxide heaps and then irrigate it with sulphuric acid. There the pyrite would oxidize and in the process would generate acid as well as releasing cobalt into the solution. The solution would contain both copper and cobalt. The copper is recovered from our existing SX-EW infrastructure, while the cobalt would be recovered from a future CCIX plant. This work is TEA level and we expect to have a study completed in 2024. I should note that the current [Indiscernible] at the Mantoverde operation already has considerable cobalt in solution greater than 350 ppm, which is accumulated over time, we are taking this solution and evaluating its possibility of extraction at several commercial labs. Overall, the benefit of this heat leaching IX option is it will offset some of our acid requirements, but more importantly, could prove to be significantly lower capital intensity than a roaster and ultimately, much simpler to execute with a faster timeline to production. Now, over to Wendy King for the sustainability review.
Wendy King: Thank you Cashel. We're now on slide 19. We are pleased to introduce our ESG strategy. The development of the strategy was a structured 12-month process with company-wide stakeholder participation and aligned with our purpose and values. We have a robust governance process for oversight and execution. The strategy is a reflection of our firm commitment to sustainability and sets out our priorities, actions, and targets over the next seven years focused on five initial priorities. These priorities are biodiversity, communities, tailings, climate, and water. We are also advancing diversity and inclusion targets in 2023, starting at the leadership level. We will provide more detail on our strategy in the coming weeks and regularly report on our progress. At Pinto Valley last year, we deployed mining equipment with Tier 4 engines and pumps that meet US EPA Tier 4 emission standards and provide fuel efficiency improvements. We've also implemented various initiatives and practices at Pinto Valley including a new mining -- mine dewatering system, new maintenance practices to reduce both petroleum product and solid waste generation, and new dusk controls to reduce water and fuel consumption. At Mantos Blancos and Mantoverde, we have moved to the self-assessment stage for the Copper Mark assurance process. And we expect to advance to the independent review stage in Q2. Investment in efficient equipment continues that our Chilean operations with Mantoverde now commissioning is third electric shovel.
John MacKenzie: Thank you, Wendy. On Slide 20 with our 2023 production and cost guidance announced last month, we expect to produce between 170,000 tonnes and 190,000 tonnes of copper. Let's see one cash costs of $2.50 to $2.70 per payable pump remain focused on the execution of our near-term growth profile, increasing copper production by 45%. So, approximately 260,000 tonnes following the ramp up of the transformation amongst value development projects, which remains on time and on budget. After this, we have the fully permitted Santo Domingo project, which unlocks district synergies and generate an additional 45% of copper production to 380,000 tons per year, the further upside and expansions across our portfolio. And finally, on slide 21, we have significant catalysts over the next two years that support our sector leading growth paths with further upside beyond this across our portfolio. We have a talented technical team in place to execute on these studies and we look forward to releasing the results in the timeline shown on the slide. With that, we're now ready to take questions.
Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] Question comes from Dalton Baretto at Canaccord. Please go ahead.
Dalton Baretto: Thanks. Good morning, everybody. John, I wanted to start by asking you about what's going on in Chile. It's been pretty quiet lately and just wondering where the whole process in terms of overhauling the fiscal regime? Thanks.
John MacKenzie: Yes, thanks for the question, Dalton. I think there are two main elements that are going on in Chile right now. The first is the constitutional reform. And I must say, we're really encouraged about where that's gone. The initial version that was voted on last year was sort of rejected by a very significant majority, indicating that the majority of Chileans wanted a far more moderate constitution and one that's sort of continued the current sort of economic model of the country. So right now that process is, is advancing well, then the new process will have three groups of people. One, which is a group of constitutional experts, one is a group of people elected from the mainstream political parties. And the third is a group of people sort of elected by the general population. They will present, I think, by around October this year, a revised constitutional proposal. And the intention is that at the end of the day, it'll be voted on. But it's certainly is progressing in a direction that we are certainly currently very comfortable with. With regard to the royalty discussions, as you know, there was sort of various proposals put forward over the past year. I think the latest proposal that that's in play is, is far more reasonable than what we have seen previous to that, that has actually been approved by the Senate Mining Commission, and currently sits with the Senate Finance Commission. It's unclear how long it will sit with them before they move. It's with whatever recommendations they have to the Senate for final approval. They have agreed that whatever is put in place will only be effective from 2024. And I think overall, our view on it is that it's a very, very significant improvement on the previous proposals. It's does sort of does represent an increase in tax rates, we would obviously prefer to see that still slightly lower just to further improve Chile's competitive competitiveness relative to some of the jurisdictions, but it's very much in the same ballpark now is most of most of the competing jurisdictions.
Dalton Baretto: Thanks, John, that's very helpful. And then maybe I can switch gears and ask you about the mantle, very stoplight. There's some language in your release that talks about spare capacity, if you will, or the ability of the front end of the circuit to do more. And there's also some language in terms of potentially twinning the light as part of phase two. So presumably, on the assumption that both of those happen, does that mean that the sulphide mill will run north of 70,000 tons per day? If I have my numbers, right?
John MacKenzie: Yes, that would still be correct. We've obviously designing the current model for 32,000 tons a day. We need to, what we've identified is that certain major pieces of equipment, and particularly the crushes on the most have additional capacity, we need to sort of fully evaluate what that additional capacity was, would look like. And ultimately, that would form what we would call the sort of the future optimization of the MVDP projects. Once we've got that optimized throughput in place, we will then look to add an identical line to that to sort of further fully utilize the resource base that we've got. So I think the sort of numbers you mentioned, at this stage it's work in progress, but you're probably in the ballpark.
Dalton Baretto: Great, thank you. And then just maybe if I can squeeze one last one, and this one is in PV4, given some of these investments you're targeting in the combination circuit, as well as in flotation. Can you tell us about the Milliken potentially do after that from a throughput and recovery perspective? And whether Jetty is going to play a big part in PV4?
John MacKenzie: Thanks, Dalton. I'll ask Cashel to respond to that?
Cashel Meagher: Yes. Thanks, John. I think the way we're sequencing PV4 right now, one of the critical elements is to increase the capacity of additional tailings. These are old tailings facilities. So one of the real drivers is to permit design, what we call TSF5. That's really the key focus. With that to TSF5, we believe we'll have more return water. And so PV4 is focused on the current infrastructure and the current mills and crushers of what we can get out of them with an extension of some mill shells and the addition of changing the power in the motors, we believe we can get up to 70,000 tonnes. However, that's contingent on coming up with solutions to generate more water. And so that's what PV4 is about is one to permit the new tailings that we can expend, extend the mine life at the current capacity and capability of the mill, which is around 60,000 tonnes a day and then evaluate the future opportunity of increasing the capacity in the current infrastructure that we have.
Dalton Baretto: And Cashel, are there any upside here recoveries there as well?
Cashel Meagher: Yes. So we believe there are some modifications both in the Mali plants, which were actually sort of seeing at the start of this year, and in the copper flotation circuit, where we believe there are some points available for copper flotation. And then to your question, I sort of didn't answer with respect to Jetty, we're still in the control phase of evaluation of our test pad versus the jetty pad, as you well know, the jetty technology, the benefits of which happened over an extended period of time. So we're still evaluating that technology. We think, if that technology proved successful, that Pinto Valley is one of the unique sites where you can take advantage of this type of technology, because you already have sulfide dumps that are in place. And it's truly incremental production to the current production profile of the mine itself. And that's really where these sulfide bleach technologies at benefit, we don't see that the sulfide leach technologies would be economic on a standalone basis. But certainly incremental production, we continue to evaluate and understand if we continue to evaluate what the results of this test program would be.
Dalton Baretto: That's great. Thanks a lot.
Operator: Thank you. Next question comes from Orest Wowkodaw at Scotiabank. Please go ahead.
Orest Wowkodaw: Hi, good morning. You in previous quarters, you quoted a completion percentage for the Mantoverde project. I believe it was 67% as of Q3. I didn't see that in the disclosure today. Can you give us an update there?
John MacKenzie: Yes. Certainly. So, overall, project completion is at 76%. And the actual construction part of the project, if I recall correctly, is 57% completion as at the end of the year.
Orest Wowkodaw: Okay. Perfect. Thank you. And then, I mean, when I take a look at your slide here of upcoming catalysts, clearly, you've got a ton of growth options in the portfolio. Can you maybe walk us through your thinking on priorities here? Like certainly, I can't see how you could build or develop all of these expansions and projects at once? What, how should we think around just the prioritization of these growth options?
John MacKenzie: Yes, it's a very good question, Orest. So, we're obviously ramping up and completing the ramp up of monsters, bunkers concentrated project. Mantoverde is in construction, and that obviously, is our next big sort of transformational catalyst as we bring that on at the end of this year. They clearly a number of studies going on in parallel with that, and you're absolutely right, we have no intention of running major projects in parallel. We will take a conservative approach to our balance sheet. So, our intention is we will be completing the copper ion part of the base case feasibility for Santo Domingo at the end of this year. Our intention really is then to wait upon sort of three factors. The one is the ramp up of Mantoverde. The second is obviously sort of building up our cash position and finalizing the financing plan for the Santo Domingo project, potentially bringing in a partner for that project as well. And then finally, sort of assessing the macro environments at that point. So, where is the copper price particular sitting at that point, and that will really guide us as to the timing of pulling the trigger on Santo Domingo. So, that is very clearly our next priority in terms of where we step to from there. We will be continuing during this time to obviously we need to ramp up months Mantoverde to fully evaluate the capacity of the system. And to understand how the -- what the most capital efficient optimization of that project will be. I would comment that Mantos Blancos Phase 2 is something which potentially could be done in parallel with some of these other projects, it's -- it actually is more like a sort of brownfield sort of sustaining CapEx project, rather than any sort of major expansion capital project. That's just moving us from 20,000 tonnes a day to 27,000 tonnes a day, using unutilized cash in the plant. We've had quite a few days where we've achieved 25,000 tonnes a day already with the current plant. So it really is just seeing what pieces of the plant we need to kind of the bottleneck. So I think that is a project which conceivably would happen in parallel. But I would say that fundamentally, our order is after we complete Mantoverde development projects to move to Santo Domingo. Thereafter, we will optimize Mantoverde and from there, we would love to move into the four months Mantoverde Phase 2 project.
Orest Wowkodaw: Thank you. That's very helpful.
Operator: [Operator Instructions] Next question comes from Bendik Folden Nyttingnes at Clarksons Securities. Please go ahead.
Bendik Folden Nyttingnes : Hey, guys. It seems like the cobalt plant is getting sort of less of a far-future event with the potential of heap leaching already in 2025. Do you have any color on sort of $1 figure range on the difference of the CapEx between roasting plants and heap leaching?
John MacKenzie: I’ll ask Cashel to just give you some comments on that.
Cashel Meagher : Yes -- thanks. There's a lot of work still yet to do on pilot testing, bench-scale testing, and plant design. But the way we look at it is in an order of magnitude discussion. If a roaster is may excess of a $1 billion. A CIX [33:11] plant in the required infrastructure would be in the hundreds of millions of dollars. And that's sort of where we are. It all be a function of the size and what modifications we need to our current agglomeration circuit. And so that's sort of what we're saying. And then there are the associated costs, specifically for Santa Domingo of what a heap leach pad and infrastructure PLS pipeline, and return wrapped in a line would be in addition to all that process. So those are the things that will come out at a scoping level with RPA, when that cobalt studies do and we'll have more detail there. But we believe the difference in complexity, and the difference in capital or order of magnitude differences. And that's why we're pursuing this. And we're pretty excited about this particular opportunity, and we look forward to the pilot scale testing results.
Bendik Folden Nyttingnes : Yes. Cool. If I can squeeze in one more, just looking at the software cash costs in this quarter at Mantos Blancos? How should we think about the guided range for 2023? And also, are there any timing considerations we should think about for costs there?
John MacKenzie : Yes, I can take that, Bendik, our cash costs came down, as you notice at Mantos Blancos for Q4. And then the future guidance is roughly in the same range just to kind of make and some inflationary impacts that you're seeing currently in the market for explosives and diesel still, so that's why the sulfides are coming up, ranges that we guided 220 to 240.
Bendik Folden Nyttingnes : Yes. Thank you.
Operator: Thank you. And the next question comes from Craig Hutchinson at TD Securities. Please go ahead.
Craig Hutchinson : HI. Good morning, guys. You mentioned in your comments that Mantos Blancos Phase 2 could be done in parallel with one of the bigger projects. Could the same be said about PB4 or is that project more capital intensive? Or is it just a Mantos Blancos is a better return on investment?
John MacKenzie : Hey, Craig. Yes, I think it could be it's -- the results of PB4 will come out. It'll be a function of financing and what the current macro-economic environment is. But PB4 itself, I would say that the big component of it is the construction of a new tailings stand. And of course, that sequence or that process is dependent on the permitting of the area, which is -- we've achieved the expansion at TSF4 most recently, with cooperation with the Forest Service, and it requires to go through that type of permitting sequencing also. So the timing right now is into isn't totally decided. But we see that that is something we could undertake at the same time provided the financing scenarios, correct.
Craig Hutchinson : You mentioned just access to water, or what are some solutions around that?
John MacKenzie : We believe that a new tailings stand itself would have a more efficient reclaim process. So that would increase our access to water specifically.
Craig Hutchinson : Okay. And just my last question, just in terms of like, leverage, you guys just mentioned just want to be certain on the balance sheet. But what kind of leverage metrics that you guys kind of looking for here or to go ahead with a new project build?
John MacKenzie : Yes, I mean, this year will be our peak leverage, I guess, when you look at our guidance where we're at as we build this, but we would quickly de lever that ratio. So we're trying to say that below two times net leverage. And then that would actually come off Craig, as Mantoverde comes off before we would make another financing or construction decision on one of these projects.
Craig Hutchinson : Okay, perfect. Thanks.
Operator: Thank you. There are no further questions. I will now turn the call back over for closing comments.
John MacKenzie: Thank you. We look forward to updating your game in April with our Q1 results. And until then, stay safe. And feel free to reach out to Jerrold or Katina if you have any further questions. Thank you for your continued support and have a good day.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and we ask that you please disconnect your lines.